Operator: Good morning, and welcome to the Trustco Bank Corp Third Quarter 2016 Earnings Call and Webcast. [Operator Instructions] Before proceeding, we would like to mention that this presentation may contain forward-looking information about Trustco Bank Corp New York and that is intended to be covered by the Safe Harbor for forward-looking statements provided by the Private Securities Litigation Reform Act of 1995. Actual results and trends could differ materially from those set forth in such statements due to various risks, uncertainties and other factors. More detailed information about these and other risk factors can be found in our press release that preceded this call, and in the risk factors and forward-looking statement sections of our Annual Report on Form 10-K and as updated by our Quarterly Reports on Form 10-Q. The statements are valid only as of the date hereof, and the company disclaims any obligation to update this information, except as may be required by applicable law. Today's presentation contains non-GAAP financial measures. The reconciliations of such measures to the most comparable GAAP figures are included in our earnings press release, which is available under the Investor Relations tab of our website at trustcobank.com. Please also note today’s event is being recorded. I would now like to turn the conference over to Mr. Robert J. McCormick, President and CEO. Please go ahead.
Robert McCormick: Thank you. Good morning everyone. As the host said, I'm Robert McCormick, I thank you for joining us this morning to hear a little more about our Company. As usual joining me on the call today is Scot Salvador, our Chief Banking Officer, Mike Ozimek, our Chief Financial Officer. Kevin Timmons, who most of you know he is also in the room. The plan is for me to start the summary of our quarter hitting the highlights, then turn it over to Mike for the detail on the numbers, he will hand off to Scot, who will discuss our operations, mostly the loan portfolio. We’re happy to report a good third quarter here at the Bank. Our net incomes was up $10.9 million, was greater than second quarter of 2016 and greater than the same quarter last year. Our deposits grew to almost $4.2 billion, this is up about $70 million more than the same period last year. We’re happy to report our time deposits drop by $10 million during the same period meaning we’ve been able to grow our base of core deposits, reducing our reliance on the higher priced time accounts. Total loans were up to just show a $3.4 billion, growth was driven by a residential mortgage lending operations, that portfolio was solidly over $2.8 billion. Commercial loan were down as we continued not to chase transactions for rates and standards. The combination of loans and deposits result in a slight margin expansion in the same time last year to 3.09, some would say flat, but we will take anything we can get. Now it’s a good time to remind the group that all of our business is done in our branches, we do not buy loan or accept broker deposits. We also do not pay premium rates for large CDs. Those that are regular followers of our company will remember, we have a strong liquidity position and a large investment portfolio with a relatively short maturities. Our asset quality continued to improve as non-performing assets to total assets fell to 0.64% for the quarter. Our loan loss reserve is 1.3% of total loans and the allowance coverage ratio was 1.6 times. We are still operating a 145 full service banking offices, our efficiency ratio has settled down to just over 54% for the quarter down from recent prior periods. Our tangible equity ratio went over 9% this quarter and our total assets held over 4.8 billion. Our return on average assets was 0.9%, up from the prior year and our return on average equity was over 10%, down from the prior year due to having a larger equity position. No update in the formal agreement with OCC, great progress has been and we remain confident we will emerge a stronger company. We are proud of our third quarter results and look forward to a strong finish to the year. Now I turn it over to Mike for the detail on the numbers.
Mike Ozimek: Thank you, Rob. I'll now review Trustco's financial results for the third quarter of 2016. As Rob mentioned, net income increased to $10.9 million in the third quarter of 2016 or 4.5% compare compared to $10.5 million for the prior quarter. Let's start with the balance sheet growth. Our average balance of interest earnings assets increased by 43.4 million from the second quarter to 4.7 billion. This growth was focused primarily in our loan portfolio. The average loan portfolio increased to 3.4 billion during the third quarter of 2016, an increase of 48.4 million on average or 1.5% over the second quarter and 108.7 million or 3.3% from the same period in 2015. As expected the sustained growth continues to be concentrated in the residential real estate portfolio. This continues a positive shift in the balance sheet from lower yielding investments to higher yielding core loan relationships. The total average investment securities decreased during the third quarter of 2016 by $20.4 million or 2.9% on average from the second quarter of 2016. As you will remember when rates drop to the end of the second quarter, we took the opportunity to sell approximately 45 million of mortgage- backed securities for a gain of 668,000. Those sales were replaced during the quarter with investment purchases of approximately 105 million and the mix of agency, mortgage backed securities and corporate bonds during the quarter. We also added a 45 million of agency securities called during the third quarter. On the funding side of the balance sheet the third quarter is notoriously difficult quarter to attract deposits. Due to the end of the summer doldrums, property and school taxes coming due and back to school focus for a good portion of our customers. In spite of this we continue to be successful on the increasing balance. Total average core deposits increased 51.2 million from the third quarter of 2015, when compared to the third quarter of 2016 and 29.4 million compared to the second quarter of 2016. While average total deposits for the third quarter were 4.2 billion and our cost of interest earning bearing deposits decreased to 37 basis points for the quarter, which continues to reflect a pricing discipline with respect to CDs and non-maturity deposits. Our net interest margin for the third quarter was 3.09%, the same as the second quarter of 2016. And a basis point higher than the third quarter of 2015. The impacts of the growth in the balance sheet coupled with the changes that we've made in net interest margin had a pretty significant impact on taxable equivalent net interest income. For the third quarter of this year our taxable equivalent net interest income was 36.7 million or approximately 612,000 greater than it was in the third quarter of last year. It is a very sizeable increase on a quarter-to-quarter to basis and it represents a core increase in earnings for the future. And we also note that we retained $684 million on an average during the quarter and overnight investments, up slightly for the average for the second quarter of this year and up $31.5 million from 2015's third quarter. In additional to the liquidity that is on our balance sheet in the current rate environment we continue to expect that we’ll have between 350 million to 550 million of loan payments coming in over the next 12 months along with approximately 150 million of investment securities cash flow during the same time period. This continues to give us opportunity and flexibility during the remainder of 2016 and into 2017. Our provision for loan losses decreased slightly to $750,000 in the third quarter of 2016 compared to $800,000 in the first and second quarter of 2016, and third quarter of 2015. Asset quality and loan loss reserve measures remains solid and improving over the second quarter of 2016 and the third quarter of 2015. As a result we continue to expect the level of the provision for loan losses in 2016 and into 2017 will continue to reflect the improving credit quality of the portfolio and economic conditions in our geographic footprint and the ongoing efforts to resolve our existing problem loans. Non-interest income net of securities gains came in at $4.7 million for the third quarter, up compared to the $4.5 million in the second quarter of 2016 and $4.4 million in the same period last year. Included in other non-interest income in the third quarter of 2016 is the $469,000 gain from the sale of our Union Street branch location. One of the most significant reoccurring source of non-interest income is derived from our financial services division. Our financial services division had approximately $863 million of assets under management as of September 30, 2016. Now onto non-interest expense. Total non-interest expense net of ORE expense came in at $22.2 million, down $1.4 million from the second quarter of 2016. During the third quarter of 2016, FDIC and other insurance expense were $1.1 million, a decrease of $822,000 compared to the second quarter of 2016. In regard to the FDIC insurance related expense as you know under a rule adopted by the FDIC in 2011 regular assessment rates for all banks declined when the reserve ratio reached 1.15%. The FDIC reserve ratio did reach the required 1.15% as of June 30, 2016. As a result banks with total assets of less than $10 billion will have substantially lower assessment rates under the 2011 rule. Therefore we expect FDIC and other insurance expense to remain at this level going forward. We continue to expect the estimated total annualized cost related to the agreement to remain elevated. The added cost continues to reflect the Company's ongoing investment in additional personnel and systems within the retail loan, deposit and regulatory compliance areas. The good news these costs have leveled off as we complete the implementation of the requirements of the formal agreement. Overall, however, non-interest expenses will significantly decrease due to the decrease in FDIC insurance expense. ORE expense came in at $895,000 for the quarter, which is up from last quarter in large part due to increased taxes paid on properties owned during the quarter. ORE expenses consistently stayed within our expectations for the last five quarters. We continue to expect ORE expense to stay in the range of approximately $500,000 to $1 million per quarter going forward. All the other categories of non-interest expense are in line with prior quarters and our expectations. Going forward, we will continue to expect total reoccurring non-interest expense net of ORE expense to decrease going forward and remain in the area of $22.5 million to $23 million per quarter. Our efficiency ratios saw a reduction during the quarter due to the decreased cost discussed earlier. As always we will continue to focus on what we can control by working to identify opportunities to make the processes within the bank more efficient. Third quarter of 2016 came in at 54.11%, down from the second quarter’s 57.7%. Even that noted decrease in expenses third quarter numbers continued to be negatively affected by our decision to retain a large amount of overnight investments and the increased cost associated with implementing the recommendations in the agreement. I would expect the fourth quarter’s efficiency ratio to end in this range. And finally, the capital ratios continued to improve. Consolidated tangible equity to tangible assets ratio increased to 9.04% at the end of the third quarter, up from 8.71% compared to the same period in 2015. Now, Scot will review the loan portfolio and non-performing loans.
Scot Salvador: Okay, thanks Mike. Net loans for the third quarter increased by 44 million, this result included a $6 million decrease in commercial loans, with the residential portfolio increasing by $50 million. Year over year loans have increased by $106 million or 3.2%, with the third quarters increased equating to 1.3% of growth. As previously discussed, we continue to be mindful with regard to commercial loans. We believe some may have become too aggressive in this area with regard to both loan pricing and terms. When the credit cycle eventually turns, we feel this cautious approach will hold us in good stead. Growth for the third quarter occurred in all our main market areas. Our Florida region continued its strong results and on a net basis accounted for approximately two thirds of the residential loan growth. Rates have increased just slightly in recent days and our current thirty year fix rate is 3.5/8% [ph], up from 3.5%. Our loan backlog was solid as of quarter end. It is down slightly from the second quarter, which is normal given the seasonal factors and up approximately 15% from the prior year. Reflected in this year-over-year increase is an uptick in refinance activity versus last year’s very low numbers. Non-performing loans continue to show improvement on the quarter. As of September 3, our non-performing loans totaled 26 million versus 28.2 million in June. Net charge-offs were also down and at 0.10%. The annualized net charge-offs ratio for the third quarter was at the lowest level since the first quarter of 2008. The coverage ratio or the allowance for the loan losses to non-performing loans stands at 1.6 versus 1.4 year ago. Rob?
Robert McCormick: Thanks, Scot. We will be please to answer any questions, any of you might have.
Operator: Thank you. [Operator Instructions] Our first question today comes from Alex Twerdahl of Sandler O'Neill. Please go ahead.
Alexander Twerdahl: First off, I think I just missed some of the commentary that you had, you said in terms of mortgages that are scheduled to reprice or mature this year, you said $315 million to $515 million or $350 million to $550 million?
Mike Ozimek: So what it is, is that’s total cash flows Alex, on the mortgage portfolio and that was $350 million to $550 million.
Alexander Twerdahl: Okay and it was 150 on the securities?
Mike Ozimek: That is correct.
Alexander Twerdahl: And then what did you say -- you said you bought a $105 million of securities, I think you said is mixed agencies and corporate bond, is that correct?
Mike Ozimek: That is correct. Mortgage backs and corporates and agencies.
Alexander Twerdahl: Okay, you said in the prepared remarks that, that the provisions in the future should reflect improving credit quality, do we take that as sort of like a gradual downward, $800,000 to $750,000 to for a while or do you think that with your reserves being 1.3% of loans, credit obviously moving in the right direction I mean, if you accelerate the reserve release a little bit faster?
Robert McCormick: It really depends -- you know there is a couple of things. One is obviously the model that we have and the model really drives the calculation. But the other side is really where the charge-offs are. So you saw our charge-offs start to come down a little bit, so what we provided came down a little bit. But we see a little bit of acceleration going forward potentially, but it really -- it depends on those first two things.
Alexander Twerdahl: Okay, And then has anything changed as we kind of get to a point in the credit cycle and the interest rate cycle where assumingly [ph] rates have to go up at some point in time and people are projecting -- starting to talk about the next downturn. Has there anything changed in your underwriting standards recently in terms of LTVs that you'll allow or anything along those lines?
Robert McCormick: We've always been a conservative lender, you know that Alex, and we've stuck to our knitting [ph] and that's kind of our discussion with regards to some of the commercial lending, some of the standards have dropped and some of the pricing has also dropped with it and you can’t get price and standards up. So we've kind of just worked with our existing customer’s, people who know -- people we know. So hopefully it serves us well in the next cycle.
Alexander Twerdahl: Great, that's all my questions. Thank you.
Operator: [Operator Instructions] It seems we have no other questions at this time. So I would like to turn the conference back over to Mr. McCormick for any closing remarks.
Robert McCormick: Thank you for your interest in our company and have a great week.